Operator: Good morning, ladies and gentlemen and welcome to Brighthouse Financial’s Third Quarter 2023 Earnings Conference Call. My name is Justin, and I'll be your coordinator today. At this time all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the conference. In fairness to all participants please limit yourself to one question and one follow-up. As a reminder, the conference is being recorded for replay purposes. I would like to turn the presentation over to Dana Amante, Head of Investor Relations. Ms. Amante, you may proceed.
Dana Amante: Thank you and good morning. Welcome to Brighthouse Financial's third quarter 2023 earnings call. Materials for today's call were released last night and can be found on the Investor Relations section of our website. We encourage you to review all of these materials. Today, you will hear from Eric Steigerwalt, our President and Chief Executive Officer; and Ed Spehar, our Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. Also here with us today to participate in the discussions are Myles Lambert, our Chief Distribution and Marketing Officer; David Rosenbaum, Head of Products and Underwriting; and John Rosenthal, our Chief Investment Officer. Before we begin, I'd like to note that our discussion during this call may include forward-looking statements within the meaning of the Federal Securities Laws. Brighthouse Financial's actual results may differ materially from the results anticipated in the forward-looking statements, as a result of the risks and uncertainties described from time to time in Brighthouse Financial's filings with the SEC. Information discussed on today's call speaks only as of today, November 8, 2023. The company undertakes no obligation to update any information discussed on today's call.  During this call, we will be discussing certain financial measures that are not based on Generally Accepted Accounting Principles, also known as non-GAAP measures. Reconciliation of these non-GAAP measures on a historical basis to the most directly comparable GAAP measures and related definitions may be found in our earnings release, slide presentation, and financial supplement. And finally, references to statutory results, including certain statutory-based measures used by management, are preliminary due to the timing of the filing of the statutory statements. And now I'll turn the call over to our CEO, Eric Steigerwalt.
Eric T. Steigerwalt: Thank you, Dana and good morning everyone. Brighthouse Financial reported solid results for the third quarter of 2023 that reflect the steady execution of our focused strategy. We continue to manage through this volatile market environment, one in which we saw equity markets fall modestly, while interest rates rose significantly, increasing by more than 70 basis points in the third quarter of 2023, as measured by the ten-year U.S. Treasury. As I've said before, while we have a cautious view on both the current market and economic environment, we intend to maintain an active and opportunistic share repurchase program and we remain committed to returning capital to our shareholders over time. Year-to-date through November 3rd, we repurchased approximately $216 million of our common stock, which included $64 million of common stock repurchased in the third quarter. In addition to our share repurchase program, we remain focused on the steady execution of our business strategy along with our multi-year, multi scenario financial management framework and risk management strategy.  Turning to the results in the quarter. I am pleased with our sales results in the third quarter. Our annuity sales totaled $2.6 billion, which is a 5% increase sequentially. Sales results in the quarter were largely driven by persistent, strong sales of our flagship Shield Level annuities, which increased 15% sequentially, as well as with sales of our fixed deferred annuities. As one of the top annuity providers in the United States, we continue to leverage the depth and breadth of our expertise, along with our strong distribution relationships to competitively position ourselves in markets we choose to compete in. We remain focused on offering a diversified portfolio of complementary products to further drive the addition of high quality new business to our in-force book, and we remain pleased with the progress that we continue to make towards shifting our business mix over time. Additionally, we reported $25 million in sales of our life insurance products in the third quarter of 2023, consistent with life sales results in the second quarter of 2023, which continue to be mainly driven by our smart care product. We remain focused on maintaining the competitiveness of our life insurance products as we execute our life insurance strategy.  Turning to financial results. Our combined risk based capital or RBC ratio was estimated to be between 400% and 420%, and cash and liquid assets at the holding company remain robust at $900 million as of September 30th. Additionally, we had solid GAAP results as our adjusted earnings less notable items were generally in line with our expectations, and we continued to effectively manage our expenses.  In summary, we reported solid results in the third quarter of 2023. Our statutory balance sheet and liquidity metrics were strong, our sales results remained at a high level, and we continued to deliver on our commitment to return capital to shareholders. We are confident in our strategy and are unwavering in our focus on business growth and prudent financial management. With that, I'll turn the call over to Ed to discuss our third quarter financial results in more detail. 
Edward Spehar: Thank you Eric, and good morning everyone. Last night we reported third quarter earnings along with preliminary statutory results beginning with the preliminary statutory metrics. Our statutory combined total adjusted capital or TAC, was $7.3 billion at September 30th, which compares with $7.6 billion as of the end of the second quarter. Our estimated combined risk based capital, or RBC ratio, was between 400% and 420% as of the end of the third quarter, which was down from a range of 430% to 450% as of the end of the second quarter. Changes in interest rates and our deferred tax assets were key drivers of the decline in TAC and the RBC ratio. In addition, capital requirements associated with new business growth contributed to a reduction in the RBC ratio with an impact consistent with what we have discussed in the past.  Interest rates rose significantly in the quarter, which drove losses on interest rate hedges. As we discussed on our long-term statutory free cash flow projections call in September, a key element of our interest rate risk management strategy is balancing the immediate impact from gains and losses on hedging instruments relative to the multiyear impact from interest rates on our statutory balance sheet. We believe this approach to risk management results in a balance sheet that is substantially protected from movements and interest rates. To illustrate, given where interest rates are today, we anticipate that essentially all of the negative impact on variable annuity or VA risk management results in the third quarter associated with higher long-term interest rates will be recouped by an incremental benefit in the first quarter of 2024 associated with the prescribed valuation interest rate for our VA book of business. This so-called mean reversion point, or MRP, is anticipated to increase by 50 basis points based on current interest rates, which compares with an expected 25 basis point increase based on rate levels at the end of June of this year.  The second driver of the change in our capital metrics was a reduction in admitted deferred tax assets or DTAs. As I have said in the past, the statutory accounting for the deferred tax asset is conservative. The admitted DTA on our statutory balance sheet is now only approximately $100 million or a small fraction of our total tax attributes, which we still anticipate using over the long-term. I would also like to note that the internal reinsurance transaction between Brighthouse Life Insurance Company and its New York affiliate was effective in October. As I mentioned on our second quarter earnings call, we expect an approximately $200 million benefit to TAC in the fourth quarter as a result of the capital efficiencies created by this transaction. As Eric mentioned, our liquidity remains robust with holding company liquid assets of $900 million at September 30th, consistent with June 30th. Additionally, we still anticipate taking at least $300 million of ordinary subsidiary dividends to the holding company this year. Now, turning to adjusted earnings results in the third quarter. Adjusted earnings excluding the impact from notable items were $275 million, which compares with adjusted earnings on the same basis of $271 million in the second quarter of 2023 and $74 million in the third quarter of 2022. The notable items in the quarter were primarily related to the Annual Actuarial Assumption Review and had a net favorable impact on adjusted earnings of $51 million after tax. This is our first Annual Assumption Review under a new GAAP accounting framework. As part of this Assumption Review, we increased our assumed GAAP long-term mean reversion rate for the 10 year U.S. Treasury to 3.75% from 3.5%. We continue to assume that mean reversion occurs over 10 years.  The increase in our long-term interest rate assumption drove the benefit to adjusted earnings within our Universal Life with Secondary Guarantees or ULSG block of business. Along with the review of capital market assumptions we also reviewed emerging experience and model assumptions. The interest rate related benefit to total adjusted earnings was partially offset by policyholder behavior assumption updates in the life and annuity segments. I will note that updates related to mortality and lapse assumptions for our ULSG block of business were insignificant. Excluding the impact of notable items, the adjusted earnings results in the third quarter were roughly in line with our quarterly run rate expectation. Alternative investment income was approximately $30 million or $0.45 per share below our quarterly run rate expectation as the alternative investment yield was 1.6% in the third quarter. This was offset by a higher underwriting margin and lower expenses.  The underwriting margin was higher than our quarterly run rate expectation driven by overall lower claims experience. There is variability in the underwriting margin throughout the year, driven by fluctuations and volume and severity of claims along with the offset from reinsurance. In the third quarter, the Life segment experienced some larger claims. However, this was more than offset by favorable overall claims experience including the reinsurance offset within the ULSG business. Additionally, corporate expenses were lower than our run rate expectation in the third quarter.  Turning to the segment results, the annuity segment reported adjusted earnings excluding notable items of $291 million in the third quarter. On a sequential basis annuity results were primarily driven by higher net investment income and lower expenses offset by lower fees. The Life segment reported an adjusted loss excluding notable items of $2 million. Sequentially results were driven by a lower underwriting margin. The runoff segment reported adjusted earnings of $1 million excluding notable items. Sequentially, results reflect a higher underwriting margin, partially offset by lower net investment income. Corporate and other had an adjusted loss excluding notable items of $15 million. On a sequential basis results were driven by lower expenses.  Overall, we reported solid third quarter results, maintained our target capitalization, and our holding company liquidity remained robust. We continue to manage the company under a multiyear, multi-scenario framework to support and protect our distribution franchise. With that we would like to turn the call over to the operator for your questions. 
Operator: Thank you. [Operator Instructions]. And our first question comes from Alex Scott from Goldman Sachs. Your line is now open.
Alex Scott: Hi, good morning. First question I have for you all was just on the GAAP assumption review and the impact on market risk benefits. I wanted to find out are there any statutory implications in some of the things that you changed in the market risk benefits and also if you could provide any clarity on what those changes were? 
Eric T. Steigerwalt: Yeah, good morning, Alex. So first, I'd start off with the assumption update was a modest impact. So when we look at GAAP, we had -- we talked about a notable item of $51 million for adjusted earnings and said that that was mostly related to the actuarial assumption review. And that was driven by the change in our mean reversion assumption for the 10-year Treasury. So 350 going to 375 was the driver of the overall impact from our assumption update. The other thing I would say is, again, it is a very small number on a GAAP basis, if you think about that, relative to a GAAP balance sheet of north of $220 billion. And the fact that we are reviewing all of our important assumptions underlying that $220 billion balance sheet. And then the final point, which gets to the question on stat, the assumption update had no real impact on our statutory risk based capital ratio.
Alex Scott: Got it. That's helpful. Second question I had is just on transactional opportunities. You mentioned that one, that I think is bringing up $200 million, that was internal, if I recall. Are there any additional internal or external opportunities that you all could leverage?
Eric T. Steigerwalt: Well, as you can imagine, we're always considering what makes sense for us to do. There's nothing else for us to talk about at this point, other than the transaction that you referenced.
Alex Scott: Okay, thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Alex Scott from Goldman Sachs. Your line is now open.
Alex Scott: I just asked, so I'm good. Thank you.
Operator: Oh, I'm sorry about that. One moment, our next question. And our next question comes from Tracy Benguigui from Barclays. Your line is now open.
Tracy Benguigui: Thank you. Good morning. So you talked about RBC and tax declining because of your interest rate hedging losses. I'm wondering if you could share a sensitivity analysis of RBC to rise of interest rates maybe by 50 basis point, incrementals?
Edward Spehar: Hi Tracy, it is Ed. So I would say we're not going to give -- we're not going to give that sensitivity other than to say, you can look what happened in this quarter, you could look at what rates did now that's, it's an oversimplification for you to look at any one rate. I mean, it's also movement in the shape of the yield curve is going to have an impact. So I think the key point here though, and it's consistent with what I had discussed on our statutory free cash -- long-term statutory free cash flow call a couple months ago. We are now in a position where we have a substantially hedged out position for interest rates and the way that we define that is we consider what is the trade-off between the immediate impact on gains and losses associated with our hedging portfolio versus the multiyear impact that we will get on our statutory balance sheet driven by the mean reversion point change. This quarter, it was a very clean relationship, I would say and that the amount of the impact that we had that was negative in the third quarter is expected to fully reverse in the first quarter of next year.
Tracy Benguigui: Got it. You also talked about the statutory reversion to mean next year will increase by 50 basis points, how many points of RBC do you see improvement from that?
Edward Spehar: We said in the past that a 25 basis point increase in the mean reversion point is $200 million to $250 million positive. And so I've also cautioned you about linear assumptions, but it's probably reasonable to be in that range if you think about each of those 25 point increments that we would -- we would see at the beginning of next year, based on where rates ended the third quarter.
Tracy Benguigui: Okay, last, I'm not really getting why you're seeing mixed mortality experience favorable and runoff unfavorable in Life, what made each segment unique this quarter?
Eric T. Steigerwalt: Yeah, I would say that mortality experience, as we've said, consistently will bounce around from -to-quarter. And so I think you can have adverse mortality in one area and favorable results in another. I mean, we have a reinsurance offset that we've talked about in the past, that may be more beneficial in one segment than it is in another, for example. So I don't think you can simplify it down to say, if you have favorable mortality you're going to have favorable mortality across all your segments. And clearly, that's not the case, because that's not what we saw this quarter. So I think the most important point would be that mortality overall for us in the quarter was slightly favorable.
Tracy Benguigui: You mentioned reinsurance, was there anything with reinsurance recoverability that was different this quarter?
Eric T. Steigerwalt: It was more favorable than I would say that the typical quarter. 
Tracy Benguigui: Thank you.
Operator: And thank you. And one moment for one moment for our next question. And our next question comes from Ryan Krueger from KBW. Your line is now open. 
Ryan Krueger: Hey, good morning. I guess a question for Ed. In terms of the some timing disconnect between the immediate impact of rate hedges and then the economic scenario generator, I guess I think another option is to use a clearly defined hedging strategy that would be a little -- more using forward rates in statutory reserves for variable annuities, is that something that you would consider switching to given the increased interest rate hedging protection that you now have?
Edward Spehar: Hey Ryan, good morning. Yeah, I don't really understand that comment because I'm not sure how there's the linkage between a CDHS and somehow using a different framework for statutory reserve calculation than the generator and the mean reversion points.
Ryan Krueger: Okay, yeah, I think my understanding that some companies use implicit CDHS and it seems to override the economic scenario generator, but I could be mistaken. And then just on the -- in terms of the internal reinsurance transaction, based on the RBC impact of that would be about 10 points benefit to RBC?
Eric T. Steigerwalt: I mean, it's roughly that.
Ryan Krueger: Okay, got it. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Elyse Greenspan from Wells Fargo. Your line is now open.
Elyse Greenspan: Thanks, Tom. Good morning. My first question was on, I guess, sales -- Shield sales trended up in the quarter and then within annuities -- fixed annuity sales did trend down after growing in the first part of this year. So just looking for some incremental color on what you're seeing in the sales side within annuities?
Myles J. Lambert: Hey, good morning Elyse, its Myles. I'm happy to take that one. So first off I will start with Shield, what I would say is it's a much better environment for our Shield sales than it was, this time last year. Consumers are looking to get back into the market with some level of protection. So Shield obviously plays very well in that market. Look, we have a competitive product, we have a very strong distribution franchise, and we continue to evolve our product portfolio. Last year, we introduced Shield Level Pay Plus. And this year, we introduced a new strategy on our Shield product called [indiscernible]. And all those factors are helping us drive sales.  As it relates to FRA sales. We're very pleased with our level of FRA sales right now. Again, we have a competitive product with a strong distribution franchise for that product category, as well. And we gave guidance earlier this year, we expected FRA sales to be down after a record year last year. And frankly, what we're starting to see is some of those flows shifting back to our Shield product and we're quite pleased with that.
Elyse Greenspan: Thank you and then add -- do you have a sense just on VII, where Q4 could trend relative to normal levels?
John L. Rosenthal: Elyse, this is John. I don't think we want to get in the habit of predicting near-term alternative returns. It's generally a losing proposition. But having said that, if you think about the negative equity returns in Q3, and the lag nature of reporting, it would not be unreasonable to suggest that next quarters return is going to be below the midpoint of our long-term expectations. 
Elyse Greenspan: Okay, thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Tom Gallagher from Evercore ISI. Your line is now open. 
Tom Gallagher: Good morning. Hey Ed, just a question on DTA that you mentioned there was a write down and there's only 100 million on the balance sheet. That's an admitted asset. Now, how much is the off balance sheet unadmitted DTA at this point? And can you help us think through the scenario under which you would be able to put that back on the balance sheet, I assume very positive earnings over time would do it but any color on that?
Edward Spehar: Hey, good morning, Tom. So the tax benefit is, I believe it's around $1.5 billion right now. So it's a very large number relative to what gets reflected on our balance sheet. I think the important point is when you look at the cash flows that we put out, the 10-year view, we are assuming that we are using those tax attributes. So the fact that they're not on the balance sheet today, does not mean that we don't expect that over this long-term period of time that we will use those attributes.
Tom Gallagher: Got you. Yeah, I was thinking more from an overall RBC perspective, how big of a negative adjustment that is right now and how that could like replenish or build excess capital over time, but I hear you on -- so essentially, the net present value of it is a much higher number than $100 million, is that fair based on what you were just describing?
Edward Spehar: I would say absolutely.
Tom Gallagher: Okay. And then second question just on, I know, you guys have had a bunch of reinsurance rate increases that were either pushed through or you did a recapture. Is that pretty much over or do you have any more in the pipeline?
Eric T. Steigerwalt: I think it would be difficult to say that it's over. But we have had recaptures over time. You're right and I would think that it's possible that could happen in the future, but I don't see anything to give you a preview of at this point.
Tom Gallagher: Okay. And then if I could slip in one final one, can you on the balance sheet review, I think we can all agree that a modest positive under the new accounting framework is a relief for anyone, can you give some quantification for what the gross benefit was for the 25 basis point interest rate change, was that a big number or is that all so fairly modest, if you were to just isolate that part of it? 
Edward Spehar: Right, sorry Tom, can you repeat isolate the part -- shaded with. 
Tom Gallagher: Sure the 25 basis point increase in long-term interest rate assumptions, if you were to isolate -- because you mentioned there were some offsetting negatives for policyholder behavior on Life and annuities. I just want to get a sense for the quantum of the 25 basis point favorable item and how much that had no other adjustments been taken, are you able to give some dementia [Multiple Speakers]? Okay, yeah, thanks.
Edward Spehar: That was -- that impact was in the runoff segment and it was more than the over the total benefit that you saw on runoff. So the runoff was, I think it was $94 million after tax. So you can assume that the rate impact was more than that. Now, the other thing I would just point out, because I think this has come up in the past, there was no change of any substance in our laps assumptions for ULSG, which resides in the runoff segment. And when I say no change, I'm considering like $20 million on a $9 billion block of business. So it was insignificant.
Tom Gallagher: Got you, that's helpful. Thanks.
Operator: And thank you. And one moment for our next question. And our next question comes from Suneet Kamath from Jeffries. Your line is now open.
Suneet Kamath: Thanks. Good morning. So just to come back to RBC just to make sure I have the numbers, right. So we should be thinking about $200 million sort of good guided attack in 4Q from reinsurance. And then I think you mentioned 300 million assuming a reversal for 1Q from the mean reversion parameter, so I just want to make sure that's right? And then relatedly is that mean reversion parameter interest rate assumption sort of locked in at this point, like do you guys know what that is or is it still being calculated?
Edward Spehar: Hey, good morning Suneet. So a few questions in there. So it is not locked in because we have to wait to see what the month end rates are for November and December. But I can tell you that we would get it based on where rates are today, even after having come down from where they were at the end of the third quarter. So there's a reasonable amount of cushion between rates, where rates are today for the 20 year, and where they would need to go to in the last two months for us to still get it. I would point out that if for some reason rates dropped a lot, and we did not get that incremental, we would also have some meaningful hedge gains in our portfolio. So what you saw happened in the third quarter, you'd see kind of the opposite occur in the fourth quarter. So that's a key point to make, I think. Just generally about the ins and outs, first of all, I would say that I was saying for 50 basis points next year on the mean reversion point. I would be assuming something north of $400 million. I thought you might have just said 300 million. But it was something north of 400 million. Maybe I just misheard you. The other thing I'd say, sorry, no, go ahead. 
Suneet Kamath: No, go ahead. You're right. I'll keep up. Okay,
Edward Spehar: Okay, so the other thing I'd say about the RBC ratio, right, we talk about our RBC ratio target in normal markets. And, obviously what you had occur in the third quarter, I would suggest is not a normal market with the 10-year Treasury yield up 70 or 80 basis points. I mean, I think if you look at history that would be considered somewhat of a low -- very low probability event. And obviously, we had the impact on the hedge portfolio as a result. Just generally, though, when we think about our RBC target, there are a few things that we would consider. We think about our position from a hedging standpoint, I would argue that we are in a much better position today from a hedging risk management standpoint than where we were at separation. We -- as you know, we de-risked the equity hedging position, de-risked the equity hedge risk back in late 2019-2020. We made a significant change in the risk profile and interest rates in 2022. And so that makes us think about our capitalization a little differently. The mix shift, obviously is a big one. As we continue to move toward a lower risk company, I think you could assume over time that there's an argument to be made for potentially having a lower RBC ratio.  Another consideration, and I'm bringing these up because obviously we're talking about now in RBC ratio, where we gave you a range of 400 to 420, you see some of the ins and outs, and in the fourth quarter I would -- north of a $300 million dividends or expectation and $200 million positive from the reinsurance. And you see where we're starting from. So I'm just giving you some context here. First of all, we're managing this over a multiyear, multi-scenario framework. We think we have a de-risk balance sheet from a hedging standpoint. We continue to see a mix shift that would suggest lower not higher capital requirements over time. Another factor to consider is, depending on the scenarios that you are in or the environment that you're living, you might have more of your risk reflected in reserves than capital. And while there is a mechanism that helps to neutralize the RBC impact from that, it's not perfect for a company that's not a pure VA company. So to the extent you had more of your risk reflected in reserves, you could argue that you would have to hold less capital and vice versa.  And then the final thing you have to consider, I mean, we didn't get any questions on it today but obviously it's very important to talk about is the holding company position, and not just the fact that we've got $900 million of cash, but that we also have a reasonable level of debt, and that we have that debt termed out long-term, given the actions we took when rates were low. So these are all things to think about when you're looking at our RBC ratio.
Suneet Kamath: Got it, okay, that's helpful. Maybe just switching gears, just curious if you guys have any initial thoughts on the DOL proposal that came out, I guess it was last week?
Eric T. Steigerwalt: Hi Suneet, it is Eric. As you've heard others say it's over 500 pages, it's pretty complicated. You know, we've been pretty thoughtful about this stuff if we think it can affect Brighthouse in the past, and I'll be thoughtful here. We don't know where this is going to end up but there could be consumer and business impacts if this proposal is finalized. I don't know what's actually going to happen. The trade groups are all over this, as I'm sure you know. I'm on the Board of the ACLI, Myles is on the Board of IRI. They do a fantastic job in these situations and them and numerous groups are already opposing this regulation similar to 2016. So we'll learn more, we'll understand the framework better here in the coming weeks and months. But that's sort of an initial reaction. 
Suneet Kamath: Okay, thanks.
Operator: And thank you. And one moment for our next question. And our next question comes from John Barnidge from Piper Sandler. Your line is now open.
John Barnidge: Good morning. Appreciate the opportunity. Thank you very much. A few quarters ago you had talked about the outflows and what you kind of expected versus surrender activity had let it to be slightly higher than that. Are you in a position to maybe update those comments today, based on the experience you've had so far in 2023? Thank you.
David Rosenbaum: Hey, John. Good morning. This, David. So I think you're right in your comments that in the first quarter we talked about based on our expectation for this year, based on where interest rates were and are and the timing of business coming out of surrender that we expected flows to be higher or outflows to be higher than what we have seen historically. And that is playing out and really in line with our pricing assumptions. So I think those comments still do hold. Myles talked a little bit about sales. So when you think about outflows in the quarter surrenders were up on Shield. But if you think about the offset or the impact from higher sales, net flows from a VA and a Shield perspective, we're flat -- essentially flat sequentially. Myles talked also about fixed sales, which were down sequentially. And you saw an uptick in fixed flows. Now they've been elevated this year relative to where they were last year. And you know, just as an example of the business coming out of surrender, you may remember in 2020 we sold a meaningful amount of fixed rate annuity business. And that business, a three-year portion of that business is up for surrender. And we saw an impact of that in the third quarter and expect to see an impact of that also in the fourth quarter.
John Barnidge: That's very helpful. Thank you. And then my follow-up question is sticking with annuities, maybe on distribution. If I look at like Shield as a percent of total VA or Shield as a percent of overall sales, it's 92% of VA sales, 70% of overall sales roughly looks like is that a high watermark or should we assume a reasonable waiting to sales compensation in the near-term for that?
Myles J. Lambert: Hey, John it's Myles, I'll take that. It's about in the range that we've seen in the past, it might be a little bit higher but it's generally in the range on the higher end as we've seen it in the past. 
John Barnidge: Great, thank you very much for the answers.
Operator: And thank you. And I am showing no further questions. I would now like to turn the call back over to Dana Amante for closing remarks.
Dana Amante: Thank you, Justin and thank you everyone for joining the call today. Hope you have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.